Operator: Good day ladies and gentlemen and welcome to today’s webcast entitled LRAD Fiscal Year 2016 Financial Results. If you would like to ask a question during the webcast, we will hold Q&A at the end of the call. It is my pleasure to turn the floor over to Brian Harvey. Sir, the floor is yours.
Brian Harvey: Thank you, Cath [ph]. And good afternoon everyone and welcome to LRAD Corporation’s fiscal year 2016 financial results conference call. I’m Brian Harvey, the Director of Investor Relations for LRAD. On the call with me this afternoon are Kathy McDermott, LRAD’s Chief Financial Officer; and LRAD’s Chief Executive Officer, Richard Danforth. In just a moment, Mr. Danforth will open today’s call with a brief introduction and provide an update on our business plans for our fiscal 2017 and then Mrs. McDermott will recap our fiscal year 2016 financial result. Afterwards, we will open the call to questions. But before I turn the call over to Richard, I would like to take this opportunity to remind you that during the course of this call, management will make forward-looking statements. Other than statements as to historical facts, statements made during this call that are forward-looking statements are based on our current expectations. During this call, we may discuss the company’s plans, expectations, outlook or forecasts for future performance. These forward-looking statements are subject to risks and uncertainties and actual results could differ materially from the views expressed today. For more information regarding the potential risks and uncertainties, see the Risk Factor section of the company’s Form 10-K for the fiscal year-ended September 30, 2016. LRAD Corporation disclaims any intent or obligation to update those forward-looking statements, except as otherwise specifically stated. I’d now like to turn the call over to LRAD’s CFO, Kathy McDermott. Kathy?
Kathy McDermott: Thanks, Brian. We’ll start with 2016 recap and then we'll turn it over for the - words from Richard. So thank you everyone for joining us today. LRAD Corporation finished the year with revenues of 4.9 million in the fourth quarter of fiscal 2016 an 11% increase over 4.4 million in the fourth quarter of 2015. Second half revenues of 10 million surpassed first half revenues of 6.4 million showing a positive trend. Revenues in the fourth quarter were driven by 1.4 million of US army orders including our first major order on a US Army Program of Record and a Southeast Asia Navy order for 715,000. Revenues for the fiscal year ended September 30, 2016 were 16.4 million, a 3% decrease from 16.8 million for the fiscal year ended September 30, 2015. After three years of decline, revenues in the US increased primarily due to a 47% increase in US military and other US government revenues due to increased revenues from the US Army, US Coast Guard, US Marines, Department of State and various US law enforcement agencies and municipalities. This was offset by a decrease in revenues in China of 1.8 million due to the timing of orders for public safety programs that are expected to resume in fiscal 2017 and another opportunity that was delayed until fiscal 2017. Revenues in Japan also decreased by 1.9 million primarily from mass notification due to the timing of orders for the tsunami warning program upgrade. This program is expected to resume in fiscal 2017 and we're already seeing improvement in Q1 2017. Revenues to international Navy, Coastguard and Public Safety also continued strong. Our quarters will continue to be uneven due to the timing of approvals and budgets. Gross profit for the quarter ended September 30, 2016 was 2.3 million or 47% of net revenues compared to 2.2 million or 49.3% of net revenues for the fourth quarter of the prior year. Gross profit for the year ended September 30, 2016 was 7.7 million or 46.9% of net revenues compared to 8.5 million or 50.8% of net revenues for the same period in the prior year. The decrease was primarily due to the decreased volume and unfavorable product mix. Our operating expenses for the fourth fiscal quarter increased by 36.6% from 1.6 million in the fourth fiscal quarter of 2015 to 2.2 million in the fourth fiscal quarter of 2016, primarily due to 241,000 of non-recurring expenses related to the recruiting and hiring of our new Chief Executive Officer, 256,000 for the reversal of bonuses in the fourth fiscal quarter of 2015 for not meeting targets and 109,000 for increased staffing. Operating expenses for the year ended September 30, 2016 increased by 26.8% from 7.3 million to 9.3 million primarily due to 1.1 million of non-recurring expenses related to our proxy contest initiated by one of our stockholders, separation costs for the departure of our former CEO and recruiting and hiring of our new CEO. In addition, we had increases for staffing and consultants for business development, marketing and engineering personnel of 678,000 and 54,000 for increased product development and certification cost. The company reported a net loss of $514,000 or $0.02 per share for the fourth fiscal quarter compared to net income of $9 million or $0.27 per diluted share for the fourth fiscal quarter of the prior year. Year-to-date the company reported a net loss of $1.3 million or $0.04 per share compared to net income of $9.7 million or $0.29 per diluted share for the prior year. The lower net income is due to lower revenues and increased operating expenses primarily related to the non-recurring expenses. In addition, in the prior year, the company recorded a non-cash entry to reverse 8.3 million of its valuation allowance against deferred tax assets compared to 188,000 recorded in the current year. On our balance sheet, our cash and cash equivalents as of September 30, 2016 was 13.5 million compared to 18.3 million at September 30, 2015. The 4.8 million decrease was primarily due to the use of 1.7 million to repurchase shares of common stock, 1.1 million from the non-recurring expenses, 955,000 for the payment of dividends and 826,000 to purchase marketable securities. Working capital decreased by 2.5 million from 25.6 million at September 30, 2015 to 23.1 million at September 30, 2016, primarily due to the repurchase of common stock and the payment of dividends. In fiscal 2016, we repurchased 1.1 million shares of stock for $1.7 million at an average price of $1.59. And the share repurchase program was extended through 12/31/2017. And with that I'll turn it back to Brian.
Brian Harvey: Thank you Kathy and I'd like to turn the call over to Richard, so we can provide some information on our 2017 plan. Richard?
Richard Danforth: Thank you, good afternoon. As we move into our fiscal year 2017, the company is investing to drive top line growth and bottom line results. Some of these investments include expanding and improving the quality of our reps, resellers and distributors in the Middle East, Europe and the Asia Pacific region. We are also adding service and support centers in these same areas of the world. We are growing and enhancing our directional and mass notification product lines. Earlier this quarter, we announced two new products utilizing the LRAD XL driver technology, which provides nearly twice the power output and range of the kind of current generation of products of the same size. In the coming months, we expect to release five more new products utilizing this same technology. We have recently added senior consultants with federal grant expertise and border security experience to increase our reach into law enforcement, defense and border and homeland security markets. We are participating in more domestic and international trade shows with an emphasis on demonstrating our products and systems. And to support this, we have significantly increased the available demonstration assets around the globe. We are also growing our mass notification business through expanded systems offering, accessories, planning and support services and partnerships. Earlier this quarter, we announced two mass notification awards, one for major port here in the United States and a second for a large oil refinery in Asia. With just those two awards, our fiscal 2017 mass notification bookings have already surpassed all of 2016. With the new administration and the increasing levels of global security needs, we anticipate improving domestic revenues from our defense, law enforcement and border security business segments. In the past, we have discussed the return of the US military and we should emphasize that the 2016 US military sales were up from prior years and we expect that trend to continue. Also increasing international revenues are also anticipated in these and other business segments. The company is off to a strong 2017. And with that I'll turn it back over to Brian.
Brian Harvey: Thank you, Richard. We’d now like to open up the conference call to questions. We encourage callers with questions to queue up with the operator as soon as possible so that there will be minimal lag time between each caller. Operator could you please instruct the callers how to queue up with their questions?
Operator: Certainly, thank you. [Operator Instructions]
Brian Harvey: And Cath, while we're waiting for that to build up, we did receive some e-mail questions that I'll go through while we let that build up. The first one was just the current breakdown of employees. And as of 9/30/2016, we had 46 employees, ten were in sales organization, 12 were in research and development, 16 were in production, Q&A and materials control and there were eight in G&A. We also received a question about backlog. Backlog at 9/30/2016 was 3.1 million. And there's some more questions but if there's anyone in the queue will take that now.
Operator: And our first question comes from Jared Cohen from J.M. Cohen & Company. Go ahead.
Jared Cohen: Can you hear me?
Kathy McDermott: Yes.
Jared Cohen: Going forward, can you give us an idea where you might - if you have a three to five year plan because the group is sort of been lackluster over the last five years and where that growth might come from?
Richard Danforth: I’ll take a pass at that. So the growth that the company has experienced it has been flat over the last several years. Our anticipation for 2017 is to show a significant increase in both bookings and sales and that trend we expect to continue.
Jared Cohen: But I know like what's been expected like this past year was at least a few million dollars from a Army contract, which I know partly has been booked. But is that going to happen this year? So you can talk about that.
Richard Danforth: So in 2016, we did finally receive a contract award with a program of record for the US Army. We generated approximately $1 million in sales on that particular order. In 2017, as you’re no doubt well aware, the defense budget and bill has not been passed, it's currently going through a continuing resolution. Inside that bill is another line item for Army LRAD products. The bill needs to be passed and we expect the bill at some point to be passed and that will add more revenue opportunity for LRAD in 2017 then we experienced in 2016.
Operator: And our next question comes from Lloyd Korten [ph] from Unique Investments. Lloyd go ahead.
Unidentified Analyst: With the new government which we have do you guys have any new expectations based upon that as far as homeland security might be concerned. I know we have a General on our Board of Directors and I'm wondering whether he has any great connections with the new Generals that are going to be involved in our Defense Department.
Richard Danforth: Well I can't speak to the relationship that General Coburn may have with other generals, but at a higher level, I will say my personal expectation is that the new administration would be more favorable towards defense and homeland security than the current administration. How that yields to bookings and sales for this company is yet to be seen. But my expectation is it will be more robust than it has been in the recent past.
Unidentified Analyst: Okay. In addition, in this past quarter, I know we won some additional awards for mass notification and the LRAD. When you're out there with people, I mean, are they excited about it. Are sales people, again, I reiterate, we have, in our categories, the best products out there. And as a shareholder, I would expect to see great revenues and sales because of it. We live in a world where our products are perfect for terrorism threats, tsunamis, et cetera, et cetera. So, I mean, could we really expect a great 2017 based upon that guys?
Richard Danforth: Our expectations are for a very good 2017. Yes, our mass notification element of our mix is up substantially than what it was [is an excellent] [ph] 2016. The pipeline is very robust. There is a competitive worldwide marketplace, so there will be wins and losses. As I think you know, we are relatively new to this marketplace. But as you've said, we provide the best product that is in the marketplace and that's taking hold. It does take time, but it is taking hold, not only here in the United States, but around the rest of the world.
Brian Harvey: And Lloyd, if I can interject for a minute, also in Richard's prepared remarks, he’d spoke about putting more demonstration equipment out in the field, because as we've always believed, hearing is believing. And when you can get people, get the equipment out, let them hear it for themselves the difference, it really helps. And that's one of Richard's priorities this year is to get more demonstration equipment out into the marketplace.
Richard Danforth: We have current proposals all over the world, including several here in the United States and elsewhere. And as I said, the pipeline is good and growing.
Kathy McDermott: One of the advantages too Lloyd, last year, we didn't develop as quick as we thought, but we did get some good significant installations in place. So now we've got some installations out there that we can model and show as reference, whereas in the past, we were kind of the new guy and didn't have a lot installed out in the market and now that we have that, that’s going to help us also building new products.
Unidentified Analyst: Well, thank you. I believe it's going to happen and I think you’re going to have a great 2017 and thank you for all your efforts guys.
Brian Harvey: Cath, are there any additional calls?
Operator: Yes. We have Jared Cohen from J.M. Cohen & Company. Go ahead.
Jared Cohen: Yeah. Just a follow-up question, just in terms of different markets. One, you've always talked about the airports. Is there any potential still in that market?
Richard Danforth: Yes. Mass notification outside the United States is active proposals, but the directional product line is also active proposals in some of the European countries.
Jared Cohen: Okay. And then lastly still with crowd control, particularly, just talking with someone, I never realized it in certain states the fact that the National Guard is not even allowed, doesn’t even have, not allowed to use their weapons. So it seems like that’s a potential for your type of product?
Richard Danforth: There is certainly. The National Guard continues to be a larger potential than we have yet to be realized. But I'll also say that municipalities, the towns, the cities also have a demand for our products and especially with respect to crowd control and that kind of thing. The challenge, especially the municipalities face Jared is funding for these products. When I spoke a few moments ago, I told you we’ve recently hired a consultant, an expert consultant to, there is an expert in finding grant money. So there's several different kind of grant monies within the Department of Justice, FEMA or HUD. This particular consultant now is working for us. She has identified over 14 various grants, federal grants that we can make available to the various municipalities for purchases of our equipment. We've just announced that it's just kicked off and there has been a reasonable amount of activity so far.
Jared Cohen: Okay. I was just wondering, have they seem to find or has there ever been a study or has the company ever done a study to show that your product would be more useful than in terms of crown control than using tear gas or anything than rubber bullets or anything like that?
Richard Danforth: Yeah. Well, obviously, ours is a non-lethal approach and that lots of real world experience that will lend to the credibility of the product and the usefulness of the product.
Operator: And our next question comes from Sergio Heiber. Sir, go ahead.
Unidentified Analyst: Hi. Good afternoon, gentlemen. I was wondering about the investment that you're making in the new products, whether they address the issues such as are being called for in the marketplace, email solutions, alerts, cellular alerts, and whether your products are now, so you scale, are they CPG 1-17 client?
Richard Danforth: Well, the CP 1-17 client, I don’t know we can certainly find and get back to. So, but to answer the first part of your question, the investments in our products is staying in our lane. So it is in the mass notification, directional communication, long range communication. We are working with companies that are adjacent to us that provide some of the features that you just mentioned in terms of a mass notification via e-mail, the Amber Alert kind of thing, and the emergency notification. We are integrating our system into this and certain applications around the world. So it's something where especially, solely with our mass notification systems, beginning to integrate inside the marketplace that that particular side of it though is not in our particular lane.
Unidentified Analyst: So I was wondering why not, because then you're relying on somebody else to get the contract and if you were self-reliant, then you would be in line to get more deals?
Richard Danforth: I agree with you. I will point out that we are new still to this marketplace. We're still developing our communication systems for mass notification. But I will say in terms of trying to develop the software element that you just referred to, developing it is probably a non-starter. Looking to team will require in that adjacent marketplace is something we would consider.
Brian Harvey: And Sergio, just for a point of clarification, we are CPG 1-17 compliant.
Unidentified Analyst: So that means that you use a C scale, because I remember before one voice is not, was A scale and that's C scale.
Brian Harvey: Well, I'm not certain about that. We will look into it, but we are compliant and again, you have to remember, we are a complement to a lot of those services. Yes, there are other manufacturers who provide a larger suite, but they still need, in many cases, the outdoor notification and that’s the lane that we're traveling in right now that Richard was talking about, looking at other opportunities to expand that lane.
Unidentified Analyst: My question was directed like, if you're going after the airport business, you're going to need to address the software issues or team up with somebody, but it doesn't seem like a large investment to get the software that you need to go with your system. And I think that you guys will be able to move for much more business and maybe the cash that you have on hand could be used to acquire a software company.
Kathy McDermott: There's a lot of different software applications out there and many where there's, depending on what the installation, what the application is, they vary quite a bit across industries and so forth. So at this point, we're still working with integrating with these various companies and utilizing third-party software and developing some in-house as well. So we'll consider that in the future to see what markets we're growing in and where there's more opportunity to perhaps develop more of that in-house or acquire for in-house use.
Operator: And our next question comes from David Lubich [ph] from Summit Brokerage. Go ahead.
Unidentified Analyst: Yeah. My question has been answered. Thanks.
Operator: And the next question is from Dennis Welsh, private investor. Go ahead.
Unidentified Analyst: Yes. Hello. I have a question for Kathy first of all. We purchased 1.3 million shares this last quarter. Can you just tell me what is the current number of shares outstanding?
Kathy McDermott: Total shares outstanding right now is, I’m going to forget off the top of my head, 31,800,000.
Unidentified Analyst: Okay. Mr. Danforth, you mentioned some degree of marketing and sales changes in the international markets. Can you be more specific with respect to those facilities and personnel?
Richard Danforth: Yes. So specifically in Europe and in the Middle East, our performance in to those sectors of the world have been poor. It's a reflection of our channels to market and from both regions of being refreshed and changed. In addition to that, we will, in the coming months, stand up service and support centers in both those regions as well as in the Asia-Pacific region. The Asia-Pacific region has, over the last couple of years, been a reseller network and new people have been put in place and the results have been very favorable. That same kind of effort is now ongoing in the Middle East and in Europe and we expect similar kind of results.
Operator: [Operator Instructions] And we do have a question from Dennis Burton [ph] from LRAD. Go ahead, Dennis.
Unidentified Analyst: I’m not with LRAD. But can you describe, with your sales force that exists right now, how it's made up?
Richard Danforth: We have a direct sales force, which is relatively small, about a dozen people and we have approximately 55 resellers around the world.
Unidentified Analyst: And are your resellers adding any value to your product or are they just passing it through?
Richard Danforth: They're passing it through. They’re a channel to the market as opposed to a company that will modify our products.
Unidentified Analyst: Do you have any people that are modifying your products specific for any kind of contracts coming up?
Richard Danforth: There are applications where a third-party will integrate our products and yes, those are ongoing.
Brian Harvey: And Cath, if that’s all, we’ll wrap it up.
Operator: That's the last question I have in queue. Thank you.
Brian Harvey: Okay. Well, thank you, everyone for participating in our fiscal year 2016 conference call. A replay will be available in approximately 4 hours through the same link issued on our November 22 press release. Thank you, again.
Operator: Thank you. This does conclude today's conference. We thank you for your participation. You may disconnect your lines at this time and have a great day.